Operator: Thank you for standing by, and welcome to the First Quarter 2024 Armstrong World Industries Earnings Conference Call. [Operator Instructions]  
 I would now like to turn the call over to Theresa Womble, Vice President of Investor Relations and Corporate Communications. Please, go ahead. 
Theresa Womble: Thank you, and welcome, everyone, to our call this morning. On today's call, Vic Grizzle, our CEO; and Chris Calzaretta, our CFO, will discuss Armstrong World Industries first quarter results and rest of year outlook. To accompany remarks, we have provided a presentation that is available on the Investors section of the Armstrong World Industries website. 
 Our discussion of operating and financial performance will include non-GAAP financial measures within the meaning of SEC Regulation G. A reconciliation of these measures with the most directly comparable GAAP measures is included in the earnings press release and in the appendix of the presentation we issued this morning. Both of these are on our Investor Relations website. 
 During this call, we will be making forward-looking statements that represent the views we have of our financial and operational performance as of today's date, April 30, 2024. These statements involve risks and uncertainties that may differ materially from those expected or implied. 
 We provide a detailed discussion of these risks and uncertainties in our SEC filings including the 10-Q filed earlier this morning. We undertake no obligation to update any forward-looking statement beyond what is required by applicable securities law.  
 Now I will turn the call to Vic. 
Victor Grizzle: Thank you, Theresa, and good morning, and thank you all for joining our call today. We're pleased to report record-setting first quarter financial results, a continuation of the momentum from last year into 2024. We're also excited to share more about the recently announced acquisition of 3form within our Architectural Specialties segment as well as the continued traction from our key growth initiatives, which continues to help offset weaker market conditions.
 And it's important to acknowledge our ability to execute on all of these could not be possible without the focus and dedication of our nearly 3,100 employees. So thanks to the entire Armstrong team. 
 Now starting at the total company level, we reported a 5% increase in net sales compared to first quarter of 2023 and adjusted EBITDA growth of 16% with 300 basis points of adjusted EBITDA margin expansion. Adjusted diluted earnings per share increased 23% and adjusted free cash flow rose 46% from the prior year. Each of these net sales, adjusted EBITDA, adjusted diluted EPS and adjusted free cash flow all were at record level for a first quarter. 
 Within our Mineral Fiber segment, first quarter sales increased 5% year-over-year driven by strong AUV performance that more than offset lower volumes. Our solid AUV performance of 8% represented a balance between favorable like-for-like price and favorable mix. The mix improvement in the quarter was largely driven by lower volumes in our lower AUV home center channel as compared to the build of inventory in the prior year. Mineral Fiber sales also benefited from our digital growth initiatives, Canopy and PROJECTWORKS.
 Canopy continued to contribute year-over-year volume growth -- while PROJECTWORKS continue to gain traction with architects, designers and contractors. Sales from these growth initiatives largely offset a modest headwind from market softness. 
 The strong Mineral Fiber AUV performance in the quarter, coupled with solid earnings from our WAVE joint venture and lower input costs, resulted in an 18% increase in Mineral Fiber EBITDA and EBITDA margin of 41%, with 450 basis points of margin expansion.  
 I'm pleased with these results as they reflect a high level of performance and execution by our teams. This includes our consistent and steady productivity efforts, our disciplined commercial execution and our ongoing product and process innovation. All of these factors are critical to Armstrong consistently providing our customers with best-in-class service levels and product innovation that distinguish what we provide customers versus our competitors.
 Another contributing factor to our Mineral Fiber results, that's important to call out was the continued performance of our manufacturing plants and specifically the quality and service levels we achieved in the quarter. 
 As I've mentioned before, we track an index of 5 key measures of service and quality that are critically important to our customer, which feeds a single metric we call the perfect order measure.  
 This is a tough measure to hold ourselves to as we strive for perfection on every single order to our customers. This measure includes order accuracy, on-time delivery, shipping damage, product defect and billing accuracy. And this quarter, the measure was near record levels and it's just another piece of the total customer experience serving as an important differentiator versus our competition. So overall, an outstanding quarter in our Mineral Fiber segment.  
 Now turning to our Architectural Specialties segment. Net sales increased 6% and EBITDA grew by 4%. In the quarter, we experienced some choppiness in the demand pattern, which can happen from time to time given the project nature of this business. However, we continue to see an increase in activity related to transportation projects as a result of the government infrastructure build. We expect this activity to continue in the coming quarters and possibly provide a 3- to 5-year tailwind to demand for our specialties business. 
 Shifting project time lines for these large complex projects, however, can lead to choppy sales patterns quarter-to-quarter as we experienced in the first quarter.  
 Our order intake continued to be positive in the quarter, and we remain confident in our ability to grow faster than the market in the specialties category. 
 Now let me turn to the exciting news that we announced yesterday, the acquisition of 3form. 3form is a well-established category leader and represents the largest business we've acquired to date, and we're excited to welcome 3form's almost 400 employees to Armstrong. 3form is a highly respected brand and design leader in translucent resins and glass used in a wide range of interior applications.
 Their products are highly specified and can be found in almost any building across a wide range of market verticals. 3form has deep expertise using color, texture and light to truly elevate the design of a space. Their products are on important design trends, centered on occupant well-being and bringing the natural light indoors. 
 With 3form and the multiple acquisitions we've completed, we continue to strengthen our position in the Architectural Specialties category enabling access to more designers, broadening our specifiable product offering and ultimately selling into more spaces within commercial buildings. 
 As we've proven, we have a unique ability to use the strength of the Armstrong's platform to grow and unlock additional value from the companies we acquire and we're excited to do the same with 3form. With this acquisition and coupled with our successful organic penetration within this category, we're well on our way to grow this segment to over $0.5 billion in sales.  
 Now I'll pause and turn the call over to Chris for a closer look at the financial results. 
Christopher Calzaretta: Thanks, Vic, and good morning to everyone on the call. As a reminder, throughout my remarks, I'll be referring to the slides available on our website, and Slide 3, which details our basis of presentation. 
 Beginning on Slide 7, we discuss our first quarter Mineral Fiber segment results. Mineral Fiber sales grew 5% in the quarter, driven by AUV of 8%, partially offset by lower volumes of 3%. First quarter AUV was driven by both favorable like-for-like pricing and favorable mix.
 We continued to realize price in line with our expectations in the quarter, and the favorable mix was largely driven by channel mix dynamics as we lapped prior year inventory level increases in our home center channel that did not repeat in the current year quarter. This also drove the decrease in Mineral Fiber volumes. In addition, in the quarter, our initiatives delivered positive, which largely offset soft market conditions as compared to the prior year quarter.
 Mineral Fiber segment adjusted EBITDA grew by $15 million or 18% and adjusted EBITDA margin expanded by 450 basis points to 41%. The main drivers of adjusted EBITDA margin expansion were the fall-through of AUV and a solid contribution from WAVE equity earnings. WAVE equity earnings grew $7 million versus the prior year, driven by higher volumes and margin improvement.  
 We also saw lower Mineral Fiber input costs driven primarily by freight and energy, specifically natural gas and, to a lesser extent, favorable inventory valuation timing versus the prior year period. These lower input costs were offset by an increase in SG&A expenses. 
 On Slide 8, we discuss our Architectural Specialties or AS segment results. Sales growth of 6% in the quarter was driven primarily by contributions from our 2023 acquisition of BOK Modern and continued strength of our metal category. Despite contributions from some larger transportation projects that help support mid-single-digit sales growth, shifting project time lines and delays drove uneven demand in the segment during the quarter. This choppiness is not unusual for the project-based businesses in AS.
 Adjusted EBITDA margin compressed by 20 basis points in the quarter. While margins were pressured due to lumpy manufacturing costs and selling investments, we remain focused on margin expansion in the segment. And as we have previously mentioned, we remain committed to returning to our goal of a greater than 20% EBITDA margin level in the AS business. In fact, on an organic basis for the full year 2024, we still expect to expand EBITDA margins in this segment.
 As we continue to monitor project time lines and backlog, we remain encouraged by the activities surrounding the transportation vertical. And as Vic noted, we're excited to add 3form to the AS segment, our financials will be included in our consolidated results beginning in the second quarter of 2024. 
 I'll comment on 3form's impact to our 2024 outlook in just a few minutes.  
 Slide 9 highlights our first quarter consolidated company metrics. We grew adjusted EBITDA by 16% and expanded margins 300 basis points versus the prior year period, driven by AUV fall-through to EBITDA and solid WAVE equity earnings. Adjusted diluted earnings per share increased 23% and adjusted free cash flow increased 46% versus the prior year period.
 Our total company adjusted EBITDA margin of 33.9% marks a solid start to the year and in fact, was our best first quarter margin performance since Q1 of 2020, prior to any significant pandemic-related impacts. 
 Slide 10 shows our year-to-date adjusted free cash flow performance versus the prior year. The 46% increase was driven primarily by higher cash earnings and lower CapEx, which was partially offset by unfavorable working capital impacts. We continue to be pleased with our ability to deliver strong adjusted free cash flow growth and remain focused on driving profitability, which fuels our cash generation.
 As we mentioned on our February call, earlier this year, we entered into a strategic partnership and made a $6 million equity investment in Overcast Innovations with McKinstry, an innovative leading construction and energy services company for a 19.5% ownership interest. Our portion of Overcast results are recorded within our unallocated corporate segment. And just yesterday, we announced our acquisition of 3form for a purchase price of $95 million, which reflects a multiple that is in line with our historic pre-synergy EBITDA multiple of 8 to 10x. We expect that this acquisition will be a positive contributor to all of our key metrics in 2024.
 Recall that our capital allocation priorities are reinvesting back into the business first where we see the highest returns; second, we pursue strategic partnerships bolt-on acquisitions; and lastly, creating value for shareholders through our share repurchase program and dividends. Strategic investments like Overcast and 3form are examples of how we're executing on our second capital allocation priority to create value for shareholders.
 Given our healthy balance sheet and our proven ability to consistently generate strong cash flow, we remain well positioned to execute on all of our capital allocation priorities. 
 In the first quarter, we repurchased $15 million of shares and distributed $10 million of dividends. As of March 31, 2024, we have over $700 million remaining under the existing share repurchase authorization. Recall in July of last year, this authorization was increased by $500 million and extended through 2026 and remains an important component of our capital allocation priorities in support of our strategy moving forward.
 Slide 11 shows our updated full year guidance for 2024. We have raised our guidance for the year to reflect improved Mineral Fiber profitability and the contribution from the acquisition of 3form. Including this acquisition, we now expect total company net sales growth in the 8% to 11% range, an increase from our prior guidance of 3% to 6% growth. The increase in our net sales guidance for the year is primarily driven by 3form.
 As mentioned in our February call, we still expect slower economic growth in the back half of 2024, and we continue to expect our growth initiatives to partially offset modestly lower market demand, resulting in Mineral Fiber volume to be down in the low single-digit range. We expect Mineral Fiber AUV to be in line with our historical average of mid-single digits, returning to a more balanced split of price and mix, and along with solid contributions from WAVE equity earnings to continue to drive Mineral Fiber EBITDA margin expansion. We now expect total company adjusted EBITDA growth in the 8% to 13% range, an increase from our prior expectations of 5% to 9% growth. 
 The increase in our adjusted EBITDA guidance versus our February outlook is roughly evenly split between contributions from 3form and improved Mineral Fiber profitability. The improved mineral fiber profitability is driven primarily by lower-than-expected input costs that we now expect to be closer to flat for the full year compared to the prior year, and better-than-expected contributions from WAVE based on their first quarter performance.
 We still expect adjusted diluted EPS and adjusted free cash flow to grow at a rate similar to adjusted EBITDA, with 3form accounting for about half of the increase in adjusted diluted EPS compared to our prior guidance. 
 Please note that additional assumptions are in the appendix of this presentation. 
 As we look forward, despite lingering macroeconomic uncertainty in the back half of the year, our focus remains on solid execution and EBITDA margin expansion in 2024.
 We remain committed to driving consistent profitability and free cash flow generation to support our capital allocation priorities and to continue to create value for shareholders. 
 And now I'll turn it back to Vic for further comments before we take your questions. 
Victor Grizzle: Thanks, Chris. Let me take a minute and talk about the market backdrop and what we're currently seeing in commercial markets. Overall, the market appears to be stable at a low -- down low single-digit level and consistent with what we've been seeing over the past several quarters.  
 There continues to be pockets of strength in verticals like transportation, education, health care and data centers with retail and office appearing to be more stable. Looking ahead to the back half, there remains a level of uncertainty around the direction of interest rates, inflation and their overall impact on economic activity. We also hear this level of uncertainty from customers as it pertains to the build in their backlogs than what they are seeing in the market.
 With this uncertainty and its likely impact on discretionary renovation activity, we're still expecting a modest softening in the back half of the year. In regard to some market softness, our business model provides resilience. This resilience allows us to deliver profitable growth and create value despite soft market conditions. We demonstrated this unique resilience in 2023, delivering profitable growth, expanding margins and what was overall a challenging market, and we are well positioned to do more of the same this year.
 The resilience of this business has been a hallmark for many years, and the uniqueness of the ceilings category along with our unique position in it as an innovation leader, has and will continue to add value and new attributes to the ceiling category.
 It's the innovation that is provide -- that provides these new attributes and a unique value proposition to our customers and ultimately positioning us to consistently grow AUV year after year. 
 Now an area of innovation that we believe is important to our customers involves products and solutions that address energy efficiency and carbon reduction. As we noted in our February call, late in 2023, we introduced ultimate temp block ceilings, the industry's first ceiling tile that can help regulate temperatures within buildings and reduce energy costs, the first ceilings that pay for themselves over time.
 This is an increasingly important because we know buildings generate about 40% of all carbon emissions generated annually in the U.S. and 2/3 of that is related to powering, heating and cooling a building. Our most recent product launched this year, Ultima Low Embodied Carbon, or LEC ceiling tiles tackles the challenge of embodied carbon. The impacts from embodied carbon account for the remaining 1/3 of a building's carbon generation. The new Ultima LEC ceiling tiles are the lowest embodied carbon mineral fiber tiles on the market today while maintaining its typical acoustical and aesthetically appealing attributes.  
 These products are part of an innovative solutions to help address the building industry's challenges thus making the ceilings category increasingly more relevant. And again, as important, to come in the form of products that deliver overall AUV growth for Armstrong. 
 So let me close by recapping our proven long-term earnings growth model that positions us well to deliver consistent growth and lots of the economic cycle. Our growth model begins with investing organically back into our business, on innovation and initiatives that create value-added products like the energy saving and low embodied carbon products, I just mentioned, and design services like PROJECTWORKS that respond to the current and evolving market needs, that strengthen our competitive position and ultimately drive long-term AUV growth.
 In Architectural Specialties, we pursue attractive new acquisition opportunities that add to our existing industry-leading portfolio providing the broadest offering of products and services in this attractive growing category. And we have a proven track record of acquiring specialties businesses that when bolted on to Armstrong platform can be scaled to improve efficiencies, to deliver top line growth and operating leverage. 
 And lastly, we're able to make these investments because of our strong, consistent free cash flow generation and high EBITDA margins that are among the highest in the building products industry.  
 This allows us to invest in our business organically and inorganically while keeping our leverage at attractive levels. The consistency our cash flow generation also enables us to make these investments while also returning cash to shareholders. We believe this is an attractive long-term growth model for our company that continues to position us well even during times of market softness, and economic uncertainty. 
 And with that, we'll be happy to take your questions. 
Operator: [Operator Instructions] 
 Your first question comes from the line of Susan Maklari from Goldman Sachs. 
Susan Maklari: My first question is I just wanted to get a bit more color on the choppiness that you talked about in terms of some of those architectural specialty projects coming through this quarter. Is there anything specific that you think caused some of the shifts in those time lines? Or any macro implications there? And just any more color that you can give on that, I think, would be helpful. 
Victor Grizzle: Yes, sure. The -- this is not the first time we've seen this, right, that we get some of this chop quarter-to-quarter -- as I mentioned a couple of quarters ago, as we get into more of these large airport projects and we land more of those in our backlog, then a little bit of shift in timing month-to-month, quarter-to-quarter in those large jobs can affect your quarter-to-quarter chop, if you will, or flow. And that's kind of what we -- that's what we experienced in the quarter.  
 Again, I think what we saw in the quarter that encourages us as the order intake continues to support the guidance that we have. It continued to be positive growth versus prior year. And the activity, the bidding and the quoting activity from Armstrong in these categories continue to be robust. So I would just, again, describe it more as some of the normal moves in and out of the quarters in terms of timing of these larger projects is what we're experiencing. 
Susan Maklari: Okay. All right. That's helpful. And then it sounds like you are getting some nice traction from the acquisitions that have come through in there. Can you talk a little bit more about 3form that you just announced? And just maybe any thoughts on the synergies, the margin profile today and how we should think about you getting that in line with the overall segment and maybe back towards that 20% target? 
Victor Grizzle: Yes. Absolutely. We're really excited about this acquisition. It is such a complementary product line to our existing product line with very little overlap, but it's highly specified by the same architects and industrial designers that we're working with and really opens up new spaces and new applications for these materials for Armstrong. So we're really excited about the complementary nature of the product line, and it's a very unique product line also and the fact that it's a translucent material.
 We don't have translucent materials in our portfolio today -- for some of the gaps that we've had, we've actually purchased products from 3form in the past to plug some of those gaps. So we know this company really well. We know their products really well. 
 So I think from a standpoint of strengthening our position in the offices of architects and designers with an even broader, more complementary portfolio. We couldn't be more excited about that.
 It's a similar profile that we've seen in other architectural specialty businesses, Susan, when you look at their scale and their profitability, we see some really good opportunities on both sides, the cost side, and leveraging the back office of Armstrong and doing more things on the Armstrong platform. So we see some good cost synergies there to improve the margin profile of this business, again, similar to what we've seen in our previous acquisitions, as well as getting them into our distribution channel into more of the architect's offices than they can afford to do today, leveraging the go-to-market machine that Armstrong has. 
 So we see a very similar synergy profile -- obviously, this is a little bit larger deal than some of our other smaller deals. But the play that we're going to run is very similar, and we expect a similar outcome in terms of getting this business to a 20% EBITDA performance level. 
Operator: Your next question comes from the line of Garik Shmois with Loop Capital. 
Garik Shmois: Congrats on the quarter. Just wanted to follow up on the transportation end markets that you cited. And just given the strong growth outlook moving forward. Just wondering if you could speak maybe just how we should think about maybe the margin mix on those projects? Do you tend to get maybe a little bit more pushback given you're dealing with government agencies? Or is there no real difference on the margin component, especially if transportation might be an accelerating part of the Architectural Specialties piece moving forward? 
Victor Grizzle: Well, I think the margin profile is really a function of the design and the material combination that the architects are trying to spec into. So the more general less custom. You obviously -- you have -- you're going to have more competition in some of those areas. But in general, I think it's a mix of both. And so it's not a big departure on the margin profile for these projects that we've experienced thus far with the ones that we've won.
 It's kind of right down the middle in terms of what we see across the business. They are more visible. So that is true. These are more visible projects. They're larger. So there's going to be bidding, there's going to be more competition. Again, we're trying to make the unique design and bring the unique Armstrong portfolio to these designs -- to provide as much of an advantage as we can in these projects. So that's really -- that's the opportunity, I think, for us to make sure that we have an accretive margin profile in these larger jobs. 
Garik Shmois: Understood. My follow-up question is just actually a little bit more backward looking just on the first quarter. If you could provide a little bit more color on just what the impact was from retail and the channel dynamics in Q1 of this year versus last year and what impact that had on AUV mix, volume and margins? 
Christopher Calzaretta: Yes, Garik, it's Chris. Yes. So from a volume perspective, the year-over-year comparison in the quarter was really all driven by that prior year retail dynamic in terms of the build there. And in terms of mix, I'd say mix was a little bit outsized in the quarter as a result of that. So again, AUV up 8%, pretty fairly balanced between price and mix, but that mix benefit we saw in Q1 here this quarter was really largely driven by that year-over-year comp in retail. 
Operator: Your next question comes from the line of Adam Baumgarten from Zelman & Associates. 
Adam Baumgarten: Just looking at the WAVE equity guidance, implies about $3 million or so in year-over-year for the balance of the year. Was there some kind of onetime benefit you saw in the first quarter that maybe you [ isn't ] continuing for the rest of the year? Or maybe just why that outlook seems to be a bit less expansionary from an earnings perspective for the balance of the year? 
Victor Grizzle: Yes, Adam, the -- I don't know if you recall the steel dynamics have been very dynamic and volatile actually, over the last 4 or 5 months, we've had to raise price twice as a result of that. And we normally get a little buy head of those price increases. I think we experienced a little bit more than we were expecting. So there is a little bit of timing there in terms of that volume normalizing its way out for the remainder of the year.  
 So I'd really say we've got some good operating leverage there as a result of that as well. But I would really say it's more around a little bit of buy head on the volume side. 
Adam Baumgarten: Okay. Got it. That's helpful. And then just back to AS, it looks like the organic revenue numbers come down a little bit. Is that purely just timing? Or are there some kind of more permanent delays or open cancellations you're seeing out there? 
Victor Grizzle: Now certainly, no cancellations. This is -- there's definitely project delays. And again, back to my prior answer around the choppiness in that organic part of the business based on project timing is really the impact we saw in the first quarter. 
Operator: Your next question comes from the line of Keith Hughes from Truist. 
Keith Hughes: Another question on Canopy. You had kind of called out again that it was additive to growth, covered up some of the weaker markets out there. You do see more detail of dollars of what that's doing or how big role that's playing in the guidance for 2024? 
Victor Grizzle: Keith, we haven't really talked about that publicly in terms of the actual dollars amount. But when you look at low single-digit markets, and together with our growth initiatives, Canopy, PROJECTWORKS and some of our healthy spaces initiatives, offsetting a large part of that, I think, is probably the best we can do to help you size the impact of these initiatives. We're really pleased with their traction, and we continue to be reinforcing that we're over the right target with these initiatives. 
Keith Hughes: Absent those, I mean, would your volume be down mid-single digits for the year? 
Victor Grizzle: For the whole year, I think in that -- maybe the high low single-digit area is probably as close to an answer I could give you, Keith. 
Operator: Your next question comes from the line of Stephen Kim with Evercore ISI. 
Stephen Kim: I wanted to ask a little bit about 3form, 3form. any sort of purchase accounting issues that we should be thinking about inventory write-ups affecting near-term profitability there? Does that have any kind of seasonality that we should be aware of? 
 And could -- I think you indicated that the route to market was, I guess, pretty similar, I'm guessing, to some of the other Architectural Specialties acquisitions. But given its size and its success, I was kind of thinking that maybe its presence in the market was superior to other acquisitions you've made. And so I just wanted to see if you could give a little context on the degree to which your distribution and breadth and power, how that is going to allow you to achieve -- basically be a better owner of the 3form assets? 
Victor Grizzle: Do you want to take the first, Chris? 
Christopher Calzaretta: Yes. Yes. Stephen, no items to call out here from a purchase accounting projective. And to your second question on seasonality. Yes, I mean, for the rest of the year, kind of expecting more of a smoother pattern of contribution from 3form as it pertains to 2024. 
Victor Grizzle: Yes. Stephen, you're right to call out, this is a well-established company. We've known this company. We've done business with the company for a long time. We've had our eye on this company for a long time because it's a high-quality company and a high-quality set of products. They do have a well-established independent agent network that is highly respected, and we plan to continue to leverage. But in addition to that, though, with the presence and the footprint that we have with our best-in-class distribution network.
 We know that we can bring some additional exposure and representation in the marketplace through that channel as well. So a very complementary nature as our initial thoughts going into this. We definitely think we can bring something to a well-established company in the marketplace. 
Christopher Calzaretta: And Steve, maybe just one thing to highlight on the -- on my previous comment that you've got 2 months of contribute here in the second quarter and then obviously 3 full months in Q3 and Q4 as you think about modeling out the rest of the year. 
Stephen Kim: Yes. That makes sense. In 2Q -- okay, great. And then lastly, on your cash flow adjustments, you called out Arktura, it's contributed about $14 million of cash flow in the past 6 months. I was curious if you could give a little bit of background on that, I guess, the former owners left. But if you can just provide a little bit of color on that? 
Christopher Calzaretta: Yes, no additional color to provide there other than what we've disclosed on that aspect of Arktura, Stephen. 
Stephen Kim: All right. Well, we'll follow up with you later. I appreciate all the color, though. 
Operator: Your next question comes from the line of John Lovallo of UBS. 
Spencer Kaufman: This is actually Spencer Kaufman on for John. The first one, you guys mentioned that you're expecting slower economic growth in the second half relative to the first half. Is that just based on conservatism? Or are you seeing some signs of slowing out there? And what could kind of change your view here, recognizing the weak March ABI print? 
Victor Grizzle: Yes. I mean the outlook for the back half is, again, modestly softer market conditions, and that's really a reflection of a lot of the indicators as well as the voice on the ground in the field. So we're certainly not trying to be conservative here. I think we're trying to represent what we think is going to likely be generally overall slower economic activity in the back half, and that will likely impact discretionary spending, especially if there's some uncertainty about how long that lasts in the back half. So I think that, again, when you look at all the indicators, which are really fairly mixed at the moment, including the GDP number that you referenced and the ABI that you referenced, there's some mixed signals there, that I think just reaffirm that we're likely to see a slower economic overall activity.  And we think that's going to have a modest impact on the business in the back half. 
Spencer Kaufman: Right. Okay. Yes. That makes sense. In terms of input costs, I think you guys mentioned that you're now expecting that to be flat year-over-year. I'm just curious to some of the puts and takes of that relative to your prior outlook? 
Christopher Calzaretta: Yes, sure. So for full year, we're expecting input costs to be about flat, it's really the energy deflation kind of offset by raw material inflation. So if I break that down a little bit for you for full year, we're expecting low single-digit deflation in freight. On raws, we expect low single-digit inflation on raw materials. And then energy, high single-digit deflation, which kind of nets out to flat for the full year on inputs. And just a reminder, in terms of our COGS and inflation, raw materials are about 35%. Freight's about 10% and energy is about 10% of our total COGS line there. 
Operator: Your next question comes from the line of Rafe Jadrosich from Bank of America. 
Rafe Jadrosich: I just wanted to follow up on the guidance and want to see if you could just walk us through a little bit more of the guidance raise. How much of it was 1Q upside? 3form and then the change in the Mineral Fiber outlook. So guidance is raised by $15 million, that you said about half was 3form and the other half was organic. Did your expectation for organic performance change for the 2Q to 4Q on that? Or is that organic change just 1Q performance? 
Christopher Calzaretta: Rafe, it's Chris. So let me walk you through that. So the guidance range -- raise that you're referring to is on EBITDA. And so yes, about half of that is attributable to the contribution from 3form acquisition. The other half, when we take a step back and look at input costs and the contributions from our WAVE joint venture, as previously mentioned, it's a combination of favorability, so deflation on the input side and really the outsized performance of WAVE in Q1 that we expect a portion of that to stick for the rest of the year. So it's really looking forward for the rest of the year, looking at our Q1 performance and triangulating around those to inform the EBITDA raise. 
Rafe Jadrosich: Got it. Okay. That's helpful. And then just focusing on AS, excluding BOK and 3form, the 6% to 9% prior view for top line and then I think 19% margin. What does that look like today? Like would you have changed the AS guidance if you hadn't acquired the 3form? 
Christopher Calzaretta: Yes. So if I pull that apart a little bit in my prepared remarks, if you would exclude the effect of 3form on the AS business for the year, the AS EBITDA margin would have expended. So that, from an organic perspective, you can see there's a dilutive effect of 3form here for 2024. And really, the change in sales and EBITDA is attributable in AS to that 3form acquisition. 
Rafe Jadrosich: So the core outlook -- the core outlook for is unchanged? 
Christopher Calzaretta: Correct. That's correct. It's really all 3form, primarily 3form driven. 
Operator: Your next question comes from the line of Kathryn Thompson with Thompson Research Group. 
Kathryn Thompson: Just wanted to follow up on free cash flow generation and then capital allocation for '24. So in Q1, you had a nice year-over-year increase, up 46% with free cash generation, but most of it was driven by lower CapEx versus last year. As you look at capital deployment for the full year, how should we think about the cadence of CapEx versus dividends and share repurchases, which are lower this year and M&A activity? 
Christopher Calzaretta: Yes. So on CapEx, you're right, a lot of the favorability in Q1 was due to the timing of CapEx. And I still expect CapEx to follow our kind of our historical patterns. I mean we don't inform or guide on that quarterly. But you can see that our range has not changed still in that $80 million to $90 million range for the year. In terms of dividends, so again, $12 million of dividends in the quarter.
 I'd just take a step back from an overall capital allocation perspective. Our priorities haven't changed. And we continue to look at earning cash to shareholders by way of dividends and share repurchases as our third priority with share repurchases continuing to be a flex.  
 You can see in the first quarter, our share repos were softer than they have been. And that's just evidence of the flexing of the share repurchase program opposite the 3form acquisition here that was on deck as we entered the second quarter. So no change to how we're thinking about it, no change to our strategy but certainly a little bit of noise here and timing on adjusted free cash flow in Q1 as you pointed out. 
Kathryn Thompson: So is it fair to say that just for the balance broadly, excluding any other significant acquisitions, roughly there shouldn't be any meaningful change year-over-year in terms of your capital allocation priorities? 
Christopher Calzaretta: I think that's fair. 
Kathryn Thompson: Okay. And I know that the horse -- dead horse has been beaten a bit on guidance. But from our perspective, what you're -- you've been saying about volumes today doesn't appear to be meaningfully different than what you've said when you reported Q4 earnings. Am I missing anything? And has anything changed that perhaps is a little more nuanced than what you had said for Q4 earnings? 
Victor Grizzle: Yes. Thank you, Kathryn. I think that's exactly right. We're communicating that there's nothing that we've seen in the market that has materially changed our outlook for the year, for the first half and for the back half and for the total year. The markets seem to be fairly stable at this point, moving sideways, if you will, for the market that we've been experiencing for the last several quarters. And all indicators say that we're probably on track for a little lower economic activity in the back half.
 So no change in our volume outlook and again, even in these -- this softer condition, we plan to do a really good job on productivity in our plants and growing our AUV, making sure that we're more than covering inflation and expanding our margins. So that's the play we ran in '23. We've run it again in the first quarter, and we plan to continue on that in '24. Thank you for that clarification. 
Operator: Your next question comes from Phil Ng from Jefferies. 
Philip Ng: I Guess looking beyond the back half of 2024, with the ABI and Dodge starts data softening a little bit this year. And just given the lag in your business, is that a risk that could spill over to 2025 that we should be mindful of where volumes could take a step down? Or you've seen pretty good bidding activity to help us to perhaps stabilization as you kind of look into 2025? 
Victor Grizzle: Yes. The ABI is quite publicized, right? And we've said for a long time, ABI is a weak indicator for our business really. It -- but I would say, even within that, from a correlation standpoint, it's kind of a weak correlator. But even within that, when you peel back the ABI, there's some mixed actually positives and negatives in that. And so -- we're not overly concerned about the ABI reading that came out in terms of our outlook for our business, not in '24 and certainly not into '25. We'll keep an eye on it because it is an indicator.
 But we look at our bidding activity, the Dodge bidding activity, in particular and looking at that across the verticals, and of course, in aggregate as other indicators to look at the overall economic activity -- and again, it was fairly flattish. So it's all kind of pointing to a very stabilized -- a more stabilized market moving forward. That's kind of what it feels like to us. 
Philip Ng: Okay. That's really helpful. I guess a question for Chris. I think in your prepared remarks, you said about 50% of the upside in EBITDA in your guide was 3forms. Does that shake out roughly EBITDA margins in the 11% to 12% range? I just want to make sure I'm thinking about it correctly. And when you think about that business longer term, what's the growth profile under Armstrong's watch? And what are some of the applications that product is typically used in right now? 
Christopher Calzaretta: Yes, it's a good question, Phil. Thanks. Yes, so looking at EBITDA margins in that low double-digit range is kind of how we how we think about that kind of initially. And then obviously, we've been able to demonstrate shareholder value creation through, again, as Vic mentioned, through the integrating these acquisitions, bringing them on to the Armstrong platform and then driving additional value creation through top line and cost synergies. But to answer your question directly, yes, it's initially in that low double-digit margin range. 
Philip Ng: Okay. How should we think about -- I'm sorry. Go ahead. 
Victor Grizzle: No, you go ahead, Phil. Go ahead. 
Philip Ng: I was going to ask if Chris was going to miss the growth profile of this business in some of the applications that's used? 
Victor Grizzle: Yes, it's similar. We think that the leverage opportunity -- it's a little larger size, right? So we think it's similar in terms of getting it exposed to more architect's offices and service through our distribution network. We think there's some real revenue synergies on that business as well. 
 It's a well-established business, right? So that's another aspect of this business, which is a positive that we'll be looking leverage as we bolt it onto the platform, the go-to-market platform of Armstrong. 
Philip Ng: Okay. So we should largely think of it as pretty comparable from a growth standpoint to how your AS business is growing currently? And I guess... 
Victor Grizzle: That's correct. 
Philip Ng: And since it's a larger deal for you, how quickly do you think you could bring some of these products onto your existing distribution relations? And is that -- is there an opportunity to kind of leverage some of your products into the relationships they already have that you called out on the independent side of things? 
Victor Grizzle: Yes. With their established network, there's reverse synergies as well with this well-established network that they have. So we're going to be after it very quickly here. We're going to run the play that we've run at other -- these other acquisitions. There will be a sense of emergency on the integration side to get everybody up to speed on each other's products. And yes, we have a team on the ground today starting to process. 
Operator: There are no further questions at this time. I will now turn the conference back over to Vic Grizzle for closing remarks. 
Victor Grizzle: Yes. Thank you all for joining our call today. We're obviously very excited about the start to the year and the markets that we're in and how we're operating in the markets that we're in. And we're extremely excited about the addition of 3form to our portfolio and what it can mean for the entire business model by having this additional portfolio to leverage. So thank you again. Look forward to updating you next quarter. 
Operator: That concludes today's call. Thank you all for joining. You may now disconnect.